Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:03 Greetings and welcome to The Chefs’ Warehouse Fourth Quarter 2021 Earnings Conference Call. As a reminder, this conference is being recorded. 00:11 I would now like to turn the conference over to your host, Alex Aldous, General Counsel, Corporate Secretary, and Chief Government Relations Officer. Please go ahead, sir.
Alex Aldous: 00:20 Thank you, operator. Good morning, everyone. With me on today's call are Chris Pappas, Founder, Chairman and CEO; and Jim Leddy, our CFO. By now you should have access to our fourth quarter 2021 earnings press release. It can also be found at www.chefswarehouse.com under the Investor Relations section. 00:40 Throughout this conference call, we will be presenting non-GAAP financial measures, including, among others, historical and estimated EBITDA and adjusted EBITDA, as well as both historical and estimated adjusted net income and adjusted earnings per share. These measurements are not calculated in accordance with GAAP, and may be calculated differently in similarly titled non-GAAP financial measures used by other companies. Quantitative reconciliations of our non-GAAP financial measures to their most directly comparable GAAP financial measures, appear in today's press release. 01:11 Before we begin our formal remarks, I need to remind everyone that part of our discussion today will include forward-looking statements, including statements regarding our estimated financial performance. Such forward-looking statements are not guarantees of future performance and therefore, you should not put undue reliance on them. 01:28 These statements are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. Some of these risks are mentioned in today's release. Others are discussed in our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q, which are available on the SEC website. Today, we are going to provide a business update and go over our fourth quarter results in detail. Then we will open up the call for questions. 01:54 With that, I will turn the call over to Chris Pappas. Chris?
Chris Pappas: 01:58 Thank you, Alex and thank you all for joining our fourth quarter 2021 earnings call. Revenue trends were strong in the fourth quarter as we saw continued growth in consumer confidence in dining out across our markets. December sales and business activity grew steadily as holiday customer traffic drove sequential volume increases commensurate with pre-COVID periods, even with the reduction in larger corporate parties and events. 02:29 Similar to our previous reporting, I will compare sales and gross margin results of the current quarter sequentially to the third quarter of 2021. Jim will provide the comparison to prior year in his comments later in the call. During the quarter, net sales increased approximately 15.3% versus the third quarter of 2021. Specialty sales increased approximately 12% sequentially versus the third quarter of 2021 with average unique customers increasing 4.5%, and we saw higher placements of approximately 7%. 03:17 Specialty cases increased 9% versus the third quarter of 2021, while center-of-the-plate pounds sold were approximately 5.6% higher sequentially versus the third quarter of 2021, excluding the impact of acquisitions. Gross profit margins were 22.5% in the fourth quarter compared to 22.7% in the third quarter of 2021 and total gross profit dollars increased 14.3% versus the third quarter. Jim will provide more detail on gross margin and inflation in a few minutes. 04:00 On December 27, 2021, we closed the purchase of Capital Seaboard, a premier provider of produce and seafood to their growing customer base in the Mid-Atlantic region. We are excited to have Larry Quinn and his entire team joining The Chefs' family of companies and brands. 04:18 Moving forward, we will look to leverage capital’s high touch and high quality business model to both complement and enhance our specialty and protein presence in this key market. Regarding recent business activity, as is the case across most of the food industry, January is seasonally the weakest month of the year in terms of revenue generation and business activity. While we experienced little observed impact on sales in the fourth quarter due to the emergence of the Omicron Variant. It did appear customer traffic was somewhat impacted in the first few weeks of January. However, our performance to-date has been in line with our expectations and is reflected in our full year 2022 guidance. 05:10 2021 was the year that reinforced the resiliency and importance of the food away from home industry. The reopening of our larger markets during the summer of 2021 followed by steady growth and profitability during the second half of the year, displayed the continued strength in consumer demand for dining out, catered events and virtually all forms of social interaction associated with the culinary experience our customers provide. 05:39 While the labor and supply chain dynamics coming out of the reopening were certainly a challenge. We are incredibly proud of the entire Chef’s Warehouse team for coming together and developing commercial operational and delivery solutions that allowed us to provide the high touch, high quality in premium product service levels, our customers have come accustomed to. We look forward to continue growth while providing the finest ingredients to current future customers and the coming generations of Chef’s in 2022 and beyond. 06:14 With that, I'll turn it over to Jim to discuss more detailed financial information for the quarter and an update on our liquidity. Jim?
Jim Leddy: 06:24 Thank you, Chris and good morning, everyone. I'll now provide a comparison of our current quarter operating results versus the prior year quarter and provide an update on our balance sheet and liquidity. Our net sales for the quarter ended December 24, 2021 increased approximately 98.2% to $558.3 million from $281.7 million in the fourth quarter of 2020. The increase in net sales was a result of an increase in organic sales of approximately 89.5% as well as the contribution of sales from acquisitions, which added approximately 8.7% to sales growth for the quarter. 07:04 Net inflation was 20.7% in the fourth quarter, consisting of 12.5% inflation in our specialty category and inflation of 29.2% in our center-of-the-plate category versus the prior year quarter. Please note that on average center-of-the-plate prices were only 3.5% higher sequentially versus the third quarter of 2021. 07:28 Gross profit increased to 113.5% to $125.7 million for the fourth quarter of 2021 versus 58.9 million for the fourth quarter of 2020. Gross profit margins increased approximately 161 basis points to 22.5%. Year-over-year inflation was broad-based across all specialty and center-of-the-plate categories. 07:52 Selling, general and administrative expenses increased approximately 31.7% to $109.2 million for the fourth quarter of 2021 from $82.9 million for the fourth quarter of 2020. The primary drivers of higher expenses were higher compensation and distribution costs associated with year-over-year volume growth in route expansion. 08:14 Adjusted operating expenses increased 37.6% versus the prior year fourth quarter. And as a percentage of net sales, adjusted operating expenses were 17.2% for the fourth quarter of 2021 compared to 24.6% for the fourth quarter of 2020. Other operating expense decreased by approximately $23.7 million due to the impairment of the Del Monte and Bassian trademarks in the prior year period. 08:43 Operating income for the fourth quarter of 2021 was $15.8 million compared to an operating loss of $48.3 million for the fourth quarter of 2020. The increase in operating income was driven primarily by higher gross profit, partially offset by higher operating costs. Income tax expense was $3.2 million for the fourth quarter of 2021 compared to income tax benefit of $16.6 million for the fourth quarter of 2020. 09:12 Our GAAP net income was $8.4 million or $0.22 income per diluted share for the fourth quarter of 2021 compared to a net loss of $37.1 million or $1.02 loss per diluted share for the fourth quarter of 2020. On a non-GAAP basis, we had positive adjusted EBITDA of $30.2 million for the fourth quarter of 2021, compared to negative adjusted EBITDA of $10.5 million for the prior year fourth quarter. 09:44 Adjusted net income was $10.2 million or $0.26 income per diluted share for the fourth quarter of 2021 compared to adjusted net loss of $19 million or $0.52 loss per diluted share for the prior year fourth quarter. 10:00 Turning to the balance sheet and an update on our liquidity. At the end of the fourth quarter, we had total liquidity of $224.6 million comprised of $115.2 million in cash and $109.4 million of availability under our ABL facility. And net debt as of December 24, 2021 was approximately $279 million, inclusive of all cash and cash equivalents. 10:26 Turning to our guidance for 2022. Based on the current trends in the business, we are providing financial guidance to be as follows. We estimate that net sales for the full year of 2022 will be in the range of $2.1 billion to $2.2 billion. Gross profit to be between $494 million and $517 million, and adjusted EBITDA to be between $99 million and $111 million. 10:52 Our full year estimated diluted share count is approximately 42.5 million shares. We currently expect our senior unsecured convertible notes to be dilutive for the full year and accordingly, those shares that could be issued upon conversion of the notes are included in the fully diluted share count. 11:12 Thank you. And at this point, we will open it up to questions. Operator?
Operator: 11:15 At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Alex Slagle with Jefferies. Please proceed with your question.
Alex Slagle: 11:46 Thanks. Good morning.
Jim Leddy: 11:49 Good morning.
Alex Slagle: 11:50 Congratulations on a good quarter. Just wanted to get -- I'm curious in terms of what you've seen in trends in the staging a recovery in recent weeks and how your customers are looking at their staffing coming back, I mean it sounds like the impact from Omicron was not that dramatic in early January and the trends generally in line with your expectations, but I guess, any more color there on the most recent weeks? And then, in terms of the guidance how to think about the cadence of the sales and EBITDA ramp, what the slope should look like through the year?
Jim Leddy: 12:33 Yeah. Thanks for the question, Alex. Yeah. I mean January in general Q1, we normally plan very conservatively anyway. If you look back in history, we make 80% to 90% of our full year adjusted EBITDA from between Q2 and Q4. So, as Chris mentioned in his prepared remarks, the seasonality of Q1 for us is pretty dramatic. And you're coming off the busiest month of the year in December. And as we mentioned, we had a very strong Q4, we saw trends that were very similar to pre-COVID periods. I mean we expected January to be fairly, fairly weak as it normally is in. And that's reflected in our full year guidance. As Chris mentioned, recent trends are progressing as we normally expect through the first quarter. We've obviously seen some weather in different parts of the country but we usually factor that into our guidance.
Alex Slagle: 13:46 Okay. What you've seen from customers in terms of acceptance of the higher menu prices. I mean any pushback there or is that sort of in line with how it has looked recently?
Jim Leddy: 14:03 Really, no changes. We haven't seen a lot of changes in customer dynamics or activity. I would just say that we saw the normal kind of seasonality impact that you see in January. And generally trends start to improve, as you get into February towards Valentine's Day and then as the weather starts to improve going into March, you start to see trends getting better as well.
Alex Slagle: 14:37 Great. Thanks for the color there.
Chris Pappas: 14:40 Yeah. I mean, just the customer feedback, like, I was just on the West Coast, obviously, the weather is better and a lot of optimism that where we've seen the worst of it and all that, the pent-up demand at some point has to be unleashed right. So just the conversation the started off the bookings and the parties and all the events, the suburbs have been doing phenomenal, so it's really the cities, getting back to normality, the cruise ships and I think those are the last two pieces for a full come back, but I was really excited to see the optimism.
Alex Slagle: 15:30 Great. Thank you.
Jim Leddy: 15:34 Thank you.
Operator: 15:35 Our next question is from Fred Wightman with Wolfe Research. Please proceed with your question.
Fred Wightman: 15:41 Hey, guys. Thanks for the question. Maybe just to follow up on the last line of questioning. I mean are you guys back to that same sort of pre-Omicron run rate. Just in terms of versus 2019 levels or are you still below that December trend?
Jim Leddy: 16:00 Well, I'm not sure what you mean by below the December trend. As I mentioned, the first quarter is affected seasonally and so we're seeing very similar trends as we saw in 2019. And although, we've stopped kind of officially reporting our percentages compared to 2019. We're still trending above 2019 as prices have remained firm and volume is starting to build back. We're still missing, obviously the travel-related and hospitality-related volume. As we mentioned when we provided our guidance earlier in the year, we don't expect that to be fully back until the end of ‘22 and into ‘23. So there is a lot of upside in the future from that business coming back as we haven't even modeled that in to our guidance for ’22.
Fred Wightman: 16:56 Okay. But just for the restaurant and case recovery, I think you guys had talked about that happening in 4Q of this year, is that still a realistic timeframe?
Jim Leddy: 17:04 Yeah. We expect to get back to 2019 volume levels by 4Q, the end of 4Q of ’22. Correct.
Fred Wightman: 17:12 Okay. Perfect. And then can you just sort of walk us through the high-end versus the low end of the gross margin outlook for the year. Is that just sort of inflation that gets you there, or is there something else that drives the high end versus low end?
Jim Leddy: 17:28 Well, actually, with our guidance, we pretty much average out to an expectation of about 23.5% gross profit margin. When you compare that to our margins in 2019 adjusted for the processing cost, of course, the biggest factor there has been the extreme inflation, lowering gross profit margin, but also lowering our adjusted OpEx and we're getting the gross profit dollar growth because we're managing gross profit margins in a way that we get the appropriate gross profit dollar growth to drive EBITDA growth. So that's the main impact in our guidance related to gross profit margins.
Fred Wightman: 18:17 Great. Thank you.
Operator: 18:21 Our next question is from Peter Saleh with BTIG. Please proceed with your question.
Peter Saleh: 18:28 Great. Thank you and congrats on great quarter. Jim, I wanted to ask on the inflation. It seems like inflation was a little hotter this quarter than it was even in the third quarter. You guys get a sense that we’ve peaked here on inflation, or is there more to come on inflation, how do you guys modeling this as we go into 1Q and into the balance of 2022?
Jim Leddy: 18:58 Yeah. Thanks for the question, Peter. Yeah. I mean it was mainly in the center-of-the-plate products that we saw slightly higher inflation I mean we reported 18% inflation in Q3 and about 20% inflation on average between the two categories, specialty and center-of-the-plate in Q4. The way we've modeled it is, we've said this before, we think prices are going to remain firm, especially through the first half of the year. Obviously, the labor situation and supply chain situation, the logistics situations haven't really changed that much and I think the outlook is that they don't really start to change until the back half of the year. Obviously, we can't predict that with surgical accuracy obviously but that's how we've modeled in. 19:48 So in our guidance as we said at ICR, we've modeled in on average very moderate deflation. But that would really be driven by the comps get much better from a year-over-year perspective in the second half of the year as we are still in the first half of ‘22, we’re still lapping the inflation dynamics caused by the pandemic and it gets easier in the back half of the year.
Peter Saleh: 20:15 Great. And then just on the acquisitions. Chris, maybe, and you guys made several acquisitions over the past year. Can you just talk about how you're viewing the market now? Are you kind of digesting what you've acquired, are you still looking for more? And then just lastly on that, can you just talk about the margin profile of some of these acquisitions and what it takes to get them up to the company level average EBITDA margin level? Thank you.
Chris Pappas: 20:50 Sure. Every market that we're in is kind of unique and we’re at a different stage of maturity and depending on the facilities, so Capital Seaboard was kind of unique, Coastal was also for sale during that period of time, they were much bigger but they had a much bigger retail presence, which really is not our focus. So we thought it was an interesting strategic acquisition to complement our Mid-Atlantic strategy gave us a lot of expertise in produce and seafood, two categories that we're trying to build nationwide, so gave us a great building, a good team, good leadership. So we're going to leverage that. Their top line gross profit margins are pretty healthy, so it's -- the more of the focus is adding in the thousands of our specialty items into their distribution and adding more of their proteins for them to make deliveries, so synergistically, it's not going to require more trucks, and a lot more people. So that's really where we'll get the leverage. So taking that business, say from 100 and something million to 200 and something million hopefully over the next few years, we should be able to get the EBITDA uptick really through the synergies and the product mix. 22:24 New England, we made a whole bunch of acquisitions the last few years, there its getting the buildings right, synergizing again the transportation, our biggest expense really are drivers and trucks especially today with labor going so high and fuel going higher. So over the next four or five years, as we -- I really figure out the leveraging the sales force and transportation, we should be able to get the EBITDA uptick synergizing all those businesses, now that we have acquired and have such a giant footprint in New England. So it's really the same in every single market where you see us building a building, acquire multiple businesses, it's that three, four, five-year plan really synergizing the sales force and technology and that's really where we got the EBITDA uptick.
Peter Saleh: 23:19 Thank you very much.
Jim Leddy: 23:24 Thanks, Peter.
Operator: 23:24 Our next question is from Todd Brooks with Benchmark. Please proceed with your question.
Todd Brooks: 23:31 Hey. Good morning, everybody. Congrats not only on a great quarter but kind of powering through a challenging year and doing it so well here, so congrats on that.
Chris Pappas: 23:42 Thank you, Todd.
Todd Brooks: 23:43 You're welcome. If I could start with just looking at the business and the incremental revenues that we're putting through the income statement now. Are there any additional claims on SG&A that we need to think about this year or are we starting to see some of that leverage unlock where you get back to that kind of mid-'20s range that you saw in the 2018 timeframe?
Jim Leddy: 24:10 Yeah. Thanks for the question, Todd. I think as we talked about when we provided guidance. We are starting to get the leverage. We are modeling in getting back to kind of the mid-single digit adjusted EBITDA margins that range that we've talked about getting back to. We did mention a couple of the headwinds that we have in ‘22 that we've modeled into our guidance. And that is mainly the moving into our expanded facilities in Southern California and in Florida, which are -- L.A. is actually underway now. We're moving in within the next month or two. And then, we anticipate to move into Florida a few months after that. 25:00 So the additional costs associated with those facilities are really the, the major headwind that we have in ’22. We will lap that in ‘23 and combine that with the lapping that and with the growth that we're going to drive through those facilities. Hopefully, we'll get a few fold in acquisitions over the next couple of years into those facilities. We're going to drive that leverage that you're talking about and in the rest of our business as well as, as we continue to grow and leveraged our fixed asset base, I think you really see the uptick in ‘23 and ‘24 as some of the things that Chris talked about in terms of synergizing integrating some of these recent acquisitions really start to impact the bottom line.
Todd Brooks: 25:56 Okay. Great. Thank you. And then secondly, I know from a demand side, it seems like Omicron moderately impactful, if at all during the holiday here. Coming out of these different spikes we've seen real spikes in demand. I think some of this may be movement on the part of individuals to think of this is endemic versus pandemic. I guess, can you talk about Chef’s readiness to service another spike in demand post-Omicron if you're expecting to see it in the spring and how well positioned you are to service the spike if it does manifest?
Chris Pappas: 26:34 Great question. I feel like you might have been with me on my West Coast trip. I just got back, Todd. And a lot of optimism. I mean, my feeling unless we get really unlucky with some bad mutation that changes. What we're seeing is, we're seeing a lot of optimism in the warmer states that the demand is just building. We're trying to get ahead of it. My position is telling the troops start hiring, start interviewing, I think it's going to be an extremely busy spring, summer and hopefully, just going to continue to build, because of all the pent-up demand. So what we're seeing as people want to get out. We're seeing shows booking. We are seeing a lot of bookings for events and hospitality. 27:30 So, I think today New York just announced that they're a getting rid of their mass mandates, they are looking at the requirement for vaccines to show them to get into restaurants. So we're really optimistic that the big sense of normality is coming back. And what we're seeing in the warmer states and people that are starting to travel again we're seeing no hold back in spending. People are taking the increases that we've seen with inflation and thank God, we're seeing, we're seeing a lot of our customers doing extremely well. So we're cautiously optimistic.
Todd Brooks: 28:14 That's great, Chris. Thanks. And then a final one from me and then I'll pass it along. If you think of, not just your readiness but you look back through your supply chain. I know with the breadth of suppliers that allows you to kind of power through shortages with substitution in a lot of cases, but just how is the supply chain kind of holding upcoming through Omicron, any areas of shortages that are even challenging for you guys with the breadth of assortment or what are you seeing as far as your suppliers ability to get your product in a timely fashion?
Chris Pappas: 28:45 I would say because I just spent a few days with a lot of our suppliers at a food show and again cautiously optimistic that everything is getting much, much better. There is blips. There's always something that we don't see -- something pops up and something goes up 5%, 10%, 15% and we're all scrambling price wise. But overall, lot of optimism that they're going to be able to suppliers and the supply chains are going to start to get better. Obviously, I think there will be some blips, but I think overall, there is a lot of optimism.
Todd Brooks: 29:25 Okay. Great. Thanks to you both.
Jim Leddy: 29:29 Thank you.
Operator: 29:33 Our final question is from Kelly Bania with BMO Capital. Please proceed with your question.
Kelly Bania: 29:41 Hi. Good morning. Thanks for taking our questions. A lot has been covered here. Just wanted to see if you can help us understand as you think about 2021, any costs that you would consider temporary transitory that maybe you can cycle or -- and how you're planning those kinds of expenses in 2022 within your guidance?
Jim Leddy: 30:07 So you're talking about 2021 transitory costs not currently or in ’22?
Kelly Bania: 30:14 Really both, actually.
Jim Leddy: 30:17 Okay. Well, I think the one thing that we've called out is obviously I talked about earlier, is the expenses related to moving in to our new expanded facilities. Beyond that, we've already seen the increases in labor and wages that's really kind of come across the entire industry, everybody resetting higher, that's obviously being passed on, as you can see in our adjusted EBITDA margins for Q4. We are able to get to adjusted EBITDA margins fairly commensurate with the pre-COVID periods after for adjusting for the new acquisitions. 30:59 So I think the major transitory costs that we had in ’21, we've talked about earlier, we are in the summer of ‘21 when we brought in temporary labor and contract labor, which was a very good decision on our operators behalf to do that. We were able to service our customers during the snapback ramp that we saw a demand in the summer and into the fall. Obviously, that's behind us. Our labor situation is at a much more close to normal type of pace. So we don't expect any really changes to the way we've modeled our guidance in terms of operating expenses.
Kelly Bania: 31:49 That's helpful. And then just last one from me. Any change or update to your outlook in terms of deflation. I think you called out last month 3% to 5% deflation outlook is obviously hard number to predict, but do you still feel comfortable in that range. And is that a good thing to bring some of those cost down for your customers?
Jim Leddy: 32:18 Well, in terms of the way we've modeled it, obviously, we can't predict it, but our thought process in the guidance was really that we saw some really very extreme inflation, especially in the center-of-the-plate products and so that's really based more on some of those categories in the center-of-the-plate category, coming back down not towards 2019 prices but coming off in terms of the average prices that we saw in 2021. 33:02 And some of that deflation is also just driven by the year-over-year comps getting better in the back half of the year and potentially getting back more towards low-single digit year-over-year inflation or even possibly low-single digit deflation as you're comparing to the numbers that we saw from the second half of ‘21 from an inflation perspective. So no, we really haven't changed our outlook. Obviously, we'll be able to manage pricing such in, whether it's an inflationary or deflationary environment. I think we've proven that over the last two years. And I'll just pass it to Chris if he has any additional thoughts.
Chris Pappas: 33:33 Yeah. I mean, Kelly -- I mean the restaurant industry, I don't know over the last almost 40 years, I've ever seen them take down prices, right. So obviously some deflation would be a great uptick for their bottom line because I don't think anyone is going to drop prices. So I think there is a lot of belief from our operators that they will capture some of that bottom line as prices. I think certain -- labor is not going down, but I think the supply chains and where so much of the inflation is coming from us just transportation and with the increase per case per pound. I think that at a certain point, we'll get some relief. And I think we will pass some of that along. And I think that -- I think the restaurant tours are counting on that. 34:20 So I mean you do speak to a lot of the, the operator side, I think there is optimism that they will be able to capture that that sort of deflation to the bottom line, but we're seeing a lot of products holding, the demand is there, I don't know what the crystal ball says overall, but what we're seeing is not a lot of pushback on price from our customers' customer, which is great news, because there has been so much inflation, especially in the high-end proteins, but high-end seems to be really strong, the demand and I just said the cities, states that we have better weather and people aren't having trouble getting out of there, their driveways or slipping. The demand for the high end or the high-end products seems extremely strong. So we're very optimistic. 35:30 Kelly?
Operator: 35:40 It looks like Kelly has disconnected. We have reached the end of the question-and-answer session. This concludes today's conference and you may disconnect your lines at this time. Thank you for your participation.
Jim Leddy: 35:50 Thank you.